Operator: Good afternoon, ladies and gentlemen. Welcome to the Pressure BioSciences Q3 2022 Investor Call and Business Update. [Operator Instructions] It is now my pleasure to turn the floor over to your host, Richard Schumacher, CEO. Sir, the floor is yours. 
Richard Schumacher: Thank you, John. And thanks, everybody, for joining us on this gorgeous day. Day -- 2 days before Thanksgiving, we appreciate it very much. And I would like to invite everybody to listen a little bit, and then we'll open it up for questions and try to take all the questions we can. 
 We're going to try to keep it short because we know it's Thanksgiving week, and everyone has places to go, we hope, and we're going to do our best to keep it short. 
 What I'd like to do before I begin is I need to have a forward-looking statement read. And John Hollister, you on? 
John Hollister: I am. 
Richard Schumacher: John -- John, do you have that in front of you because it's not in front of me. I have you read it? 
John Hollister: I can do that. The following remarks may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks, uncertainties and other factors, which may cause the actual results, performance or achievements of the company to be materially different from any future results, performance or achievements expressed or implied by such forward-looking statements. 
 Such factors include, among others, those detailed from time to time in the company's filings with the Securities and Exchange Commission. We expressly disclaim any obligation or undertaking to release publicly any updates or revisions to any forward-looking statements to reflect any change in our expectations or any change in events, conditions or circumstances on which any such statement is based. 
Richard Schumacher: Thank you, John. 
John Hollister: You're welcome. 
Richard Schumacher: So joining me today are 2 guys who have joined us before, John Hollister, who you just heard from, who is our Head of Sales and Marketing; and Jeff Peterson, who you heard from before, who is our Chairman. So welcome, John, and welcome, Jeff. . 
Jeffrey Peterson: Great to join you. 
Richard Schumacher: What we're going to do is we're going to briefly talk about the financial results of the third quarter. Then we're going to talk about some of the business and operational accomplishments of the third quarter and then look at some goals of the third quarter and fourth quarter. 
 We were very disappointed. It's not what I and John and Jeff expected for the third quarter. As we mentioned in the press release that went out, 2 things happened during the third quarter. 
 First of all, a number of orders that we felt were coming in. Most of them did come in, but they came in during the first part of October and so they're included in our fourth quarter. So we did not catch them in the third quarter. 
 And the second thing that happened, and we've talked about this on this call before, is that we took a big pivot starting at the beginning of the year where we started to focus pretty much, I would say, 90% of the company on Ultra Shear technology. 
 And with that focus, we were not working on trying to bring in additional sales into the historical part of the company, pressure cycling technology, in particular. And so it suffered a bit, but we've made the point multiple times that this is a new Pressure Bio. This is a new company. This is a company that's going to be focusing its efforts on -- primarily on Ultra Shear technology. 
 The revenue ramp can be extremely quick and the number of opportunities is tremendous. It is a technology that I think most small companies or even big companies would love to have, and we have it. So we need to put the vast majority of our efforts in Ultra Shear technology. 
 So for the reasons that we had several large orders come in after the end of the quarter after September 30, and because of the focus of John in particular and Ken and others that are in sales and marketing into Ultra Shear to make sure we could launch the product as we have in Q4, we had a downturn in the numbers in Q3. 
 The revenue was down 72%, as you've seen. And I'm not going to spend a lot of time on this. We certainly will open it up for questions. But everybody has seen the numbers, our revenue was down substantially from $518,000 to $144,000, 72%. Instrument sales were down 66%, Agrichem sales were down, but there aren't many sales to begin with, although there are sales in the fourth quarter, as we've mentioned in the press release. 
 The operating loss was about the same, up slightly from previous quarter and the loss per share was down because we've had a number of shares that have been awarded over the year and over the quarter. So we're not happy. We're -- but we expected that this could happen. We were prepared for this to happen because we're gifted. We're blessed with the technology that we think is going to change this company, and we think it's going to change the world. 
 And because of that, we put a lot of focus into Ultra Shear technology. And we're very happy on the other end, with the progress we've had in Ultra Shear. 
 So John, I'm going to turn it over to you briefly to just add a little bit on to what I say, John takes it every day because he's in charge of sales and marketing, and he's the guy that is spending some of his time chasing historical sales of pressure cycling and a little bit in BaroFold, but he's also the guy on the line who is smiling every day when he thinks about Ultra Shear. So John, do you want to add anything to what I just said? 
John Hollister: Sure. I think for me, this is a clear example of why we're so excited about Ultra Shear technology because the base business has been grinding along. 
 We have to work hard for each sale. And when a few of those units and not that many of them just get pushed out because the purchasing cycle is slow or the budgets were slow or the grants didn't happen in the time it can have an effect on -- negative effect on 1 quarter and then it can push it into the next quarter, and we're going to have a great quarter. 
 And we're experiencing that right now. 
 On the other hand, and we'll talk about this a little bit more in a bit, but we also are feeling the other side of the equation, which is this built up, pent-up demand as people learn about Ultra Shear is super exciting for us and it will clearly help us accelerate out of this quarter, fourth quarter and race into the new year. 
 So I think with that, I'll turn it right back over to Rick. 
Richard Schumacher: All right. Thanks, John. So again, we'll open up for questions. If anyone has questions on the -- we have not given up on PCT. We've not given up on BaroFold, not at all. I say we put them on the middle burner. We still have 300 customers out there, close to 400 customers out there. 
 We have instruments in the field. We've taken care of all of that but we're not spending many efforts at all to try to find new business right now in PCT. And we are spending a little bit of effort in BaroFold, but not tremendous. 
 But believe me, we are working day and night in figuring out how we manage this incredible technology called Ultra Shear as we go forward. And again, very happy to announce that the first batch, the first contract that we said we would start to ship in Q4, we've made the first batch. 
 We've got to wait for approval to ship it from internal quality control and external quality control is being done but we expect that it will be shipped over the next 7 to 10 days, and then we'll be on to batch #2. And then hopefully, early next year, we'll be on the batch 5, 10, 15 and 20. So we're very excited about that. 
 I'm going to just touch on some operational highlights because I think they're important. And then we're going to open it up for Q&A and comments. 
 One of the greatest highlights happened on October 26, so it didn't happen quite in the quarter, after the quarter. And that's when I was on a conference call a webinar with Dr. Adrienne Denese. She's an MD PhD. She's recognized as 1 of the top skin care experts in the country, if not the world. 
 She's been on QVC for 20 years and sold $0.5 billion of product, and we were on a webinar together. And she was asked, is there any product -- what is the deal with Pressure Bio, and she said, we're going to -- we're going to improve some of my products, and I can tell you they're already good, but she wants to make a good product even better. 
 And we're already working on that. She already sent us 2 molecules that she wants us to -- these are active ingredients in oil as she wants us to nanoemulsify and sent back to her, and we've already done that. And hopefully, in beginning of next year, she'll start to infuse her some of her creams and some have her gels and other products with these new more effectively water-soluble molecules. 
 But the thing that really got people talking and calling me afterwards was she was asked if there's anything that she doesn't have out there that she has wanted over 20 years, and she said absolutely the #1 product that she has always wanted to make -- and until now has not been able to was a hair regrowth. 
 And she said -- and again, the webinar is available through our website. And she said what I think is that with the Ultra Shear technology coming from Pressure Bio and their ability to get molecules through the skin, and with my ability to come up with a -- what she thinks would be a very effective hair regrowth formula, put the 2 together and she's making 1 plus 1 equal 10. So she's very excited about the development. We're already working on it. 
 She had mentioned at the time she thought it might take 18 months. And then in October 26, we put out a press release because she told me things are going well enough that she thinks and is hoping to have it out by this time next year. And wouldn't that be terrific to have a an effective hair growth formula that's available and shown on QVC 12 months from now before the holiday or during the holiday season. So that was exciting for us. 
 We talked about the launch of our first CBD product that's going to happen in the fourth quarter, and it is happening. We talked about the data that was presented by Ohio State. They were able using Ultra Shear to take proteins out of peas and use these for a lot of the plant-based drinks that people are taking. They're getting protein out of plants, but peas are exciting because they're very inexpensive to grow. They grow almost anywhere. 
 But up to now, it's been very difficult to get good protein out of peas. And Ohio State, our partner in the consortium presented data at a very important meeting, indicating that they were successful in getting good amounts of protein from peas out. 
 So all in all, we've had a lot of movement in the quarter. We've developed things that have now come into being that will make our instrument work faster, more efficiently which is always better to reduce our cost as we're making products. And John and Jeff who's on the call, and I have been out there talking to people and are just thrilled with a number of people that have indicated that they are interested in talking to us. Once our tolling is set up and raring to go. It is set up, we're raring to go. 
 We started with the first contract. We have several more to start to fulfill. And John and his team are working hard to bring more in. Jeff, we just -- very briefly, you were with us, did a bang-up job helping us out at the very large -- 1 of the largest, if not the largest in the world meeting on cannabis. 
 We went there to let people know about our CBD ability to CBD. And you walked around, can you give us a minute or 2 on your thoughts for our investors on the phone about the meeting. 
Jeffrey Peterson: I'll be glad to. I actually had the opportunity to attend 2 earlier conferences, 2 cannabis beverage conferences with John and with other members of the team in San Francisco and Chicago, that were quite exciting and astonishing in terms of the sort of title motion going on within the cannabis community focusing on the beverage space and lower dose of cannabis being provided in such a familiar format given what has gone before in beer, wine, in the spirits industry and how consumers like to take their mood modifying products and so on. So it was very exciting to see that over the last few months. 
 And then this conference in Las Vegas last week is the pivotal Cannabis Business Conference and to give you a sense of it, simply to cover the exhibition floor and speak to perhaps 10% of the people there was maybe 12 hours of walking on my part, over about 3 days, not to mention nearly constant flow of people coming to the booth. 
 And the nanoemulsion story is something that has circulated enough now that there's a tremendous amount of anticipatory interest in general. And as we were able to share the story of what we're doing the light bulbs were just going off right and left, and it was really an incredibly productive conference. 
Richard Schumacher: John, do you want to add something, then we'll open it up for questions. 
John Hollister: Yes, I would love to. So Jeff touched on 3 of the meetings. The last couple of months, we have reentered the world post COVID of meetings where you actually get to see potential customers which for those of us who love to sell, it was very, very exciting and felt like we were back home again. 
 In addition to the drinks cannabis drinks expo that Jeff was referring to and MJBiz. Most recently, we also attended SupplySide West, which was not cannabis related. It's more nutraceutical, cosmeceutical health food oriented and also a white label meeting in New York, which is, again, cannabis-focused. 
 But the message that was uniform is the awareness of the value proposition of nanoemulsions is definitely out there, which is 1 great. Two, found a very high level of dissatisfaction with existing processes for achieving nanoemulsion. 
 That is the products that they're doing or getting created for them are not meeting the expectations and expectations are clearer products that could be infused in different instance beverages stability, which -- there were lots of complaints about products separating after the been processed through these other processes. And we are increasingly confident that what we're -- our process, Ultra Shear technology is just a superior way to nanoemulse these different products. And we're going to be launching into a marketplace that has expectations for nanoemulsions but they're not being met by the current offerings, and we are going to deliver and exceed those expectations with Ultra Shear technology. 
 So I couldn't be more excited. It's daunting the number of customers that came to us and they want us to produce samples immediately and want us to produce immediately. So with that, I'll turn it back over to Ric. 
Richard Schumacher: And with that, I'm going to turn it to John, our host, and we'll open up the floor for Q&A. . 
Operator: [Operator Instructions] The first question is coming from Paul Arce with Emerging Growth. 
Unknown Analyst: Ric, this is Paul. I'm a stakeholder and long-term follower of your company. You referenced a webinar with Dr. Denese. And in that, I recall that she had spoken to some sort of academic who had studied your CBD nanoemulsions. 
 She couldn't provide details at the time due to, I don't know, an NDA or something. But she was very impressed with what she heard, motivated to sign a deal with PVI, it was a big deal. You've also mentioned that you've been sending samples out to a variety of parties, some kind of regular sample program. Can you talk about that program and the feedback that you bring getting from those samples? 
Richard Schumacher: Sure. First of all, Dr. Denese did mention that she was on a call with an academic who had analyzed our nanoemulsion. And she's under NDA. We're all under NDA, but he said that she was extremely impressed with what she heard about the quality of the Nano emotion. So we're happy that she is happy because he is an MD PhD and she's a lovely person, but she's tough to please. And when she's pleased, you know you did well. 
 And she was very pleased with what he heard. And it was part of the reason she signed a deal with us. So the -- the second thing you asked about were the samples. We have sent samples out. We sent samples to, let's see, I'd say, 3 different groups. We've sent samples to potential customers. We've sent samples to potential investors. And we've sent samples to potential the friends and family to get an idea of -- especially people have been using CBD. 
 And the feedback has been terrific with several potential customers. Even recently, I sent samples to a very large customer in the CBD and THC area. It's interesting that a lot of THC companies are now adding CBD to their products. And therefore, it's a CBD combination. 
 And therefore, they need access to good nanoemulsified CBD. And I sent sample to 1 group that is a very large company in the THC combined CBD field, and they followed up by sending me an NDA today, I think they'd like to learn more. So that was terrific. 
 And several other potential customers have looked at our product have said we're going to work through a contract. But John and I think that we've got a good chance of signing a number of additional contracts between now and the end of the year. 
 The second group were investors. It's always nice when an investor think about investing in the company, either privately, the company directly when we were able to do that or through public markets. 
 And the feedback I've gotten from these investors is terrific. Every one of them has said, it helped me I helped my wife, I help my husband, it really worked. We appreciate it. Where do we get more. In fact, I had someone actually say, you gave me 2 bottles. I gave 1 to my very best friend. They live in New Hampshire. And now they want more, where can they get more? 
 And the third is with a group of friends and family who have issues like arthritis inflammation and we've given them samples of CBD, nanoemulsified CBD. And I've said this multiple times, maybe even on this call, I've had -- everybody gave me a positive feedback, and I'm asking for the truth. Don't tell me what I want to hear, except for 1 person. 
 So we're excited, but I'm especially excited when it's an investor or a potential customer now and is asking, for example, as John mentioned, that going around the cannabis show, a lot of people do ask for samples and we're going to be doing a run and getting together a lot of samples. So -- and I'd even say on this phone, this is CBD. 
 It's not a problem to ship this out. It's not a control. I was consenting more. And so if anybody on this phone who hasn't -- I know some people on the phone call have already gotten some, if anybody in this phone call hasn't had any CBD just give me a call or an e-mail, and -- we're sending it into info@pressurebiosciences.com, and we'll get you out of sample of 30 mL sample, 1 ounce sample of CBD. 
 So everything sums up, I appreciate that. Is there another question or -- Paul, do you have any follow-ups? 
Unknown Analyst: No. Thanks for the information. I may send you an e-mail. I like what you said. 
Richard Schumacher: Beautiful. Thanks for being a stakeholder. Appreciate it. 
Operator: The next question is coming from Rory Jensen, private investor. 
Unknown Analyst: Guys, can you hear me? 
Richard Schumacher: Hear you great, Rory. 
Unknown Analyst: Excellent. So I got John, Jeff and Ric all here. So I want to first talk about the golly you had at -- and I'm going to say, the, because it's the Ohio state now in June or July of 2022. And what is the difference between that event and the 1 you have scheduled for December of this year? 
Richard Schumacher: I'll take it first. There's no difference because the 1 in June had to be postponed because of issues at the university that they couldn't get everything that they needed, the room and other things to make it worthwhile. And so it was postponed. So I'm glad you bring that up. 
 We have a big gala event. I was told today, there's already 20 or 25 people that have indicated that they're coming, outside people. We're inviting a number -- it's mostly food and beverage, a lot of beverage people. This is not a CBD or cannabis thing. 
 Remember, our technology works on any active ingredient in any oil. So if it's astaxanthin, which is a powerful antioxidant or vitamin D3 or prednisone or retinal and cosmetics, we can nanoemulsify. We cut the oil down and just spread the active ingredient among hundreds of millions if not billions of tiny little nano oil drops. 
 So there's going to be -- is going to be a wonderful time because there's going to be some terrific, terrific attendees who are going to be coming in from a well-known and start-up companies, mostly in the food and beverage area that want to learn more about Ultra Shear and to have the acknowledgment, the credibility of Ohio State behind you, having them publishing papers as they did in presenting in October and September is worth its weight in gold. So they're a tremendous group to be working with. So it is the big event, Rory. 
Unknown Analyst: Okay. Okay. And I do have another follow-up here. The UST before it was we're going to build 13, 15 UST systems selling to the customers. Now we've moved away from that. I mean, we're -- everybody is all behind you on the UST. So in the future, are you ever going to have outright sales of just the units? 
Richard Schumacher: I'm going to turn this over to our Director of Sales and Marketing and let John take this. 
John Hollister: Thank you for the question because it's important. As we've gotten -- and you are right in your memory that we were originally looking at selling these units. It just -- as we've gotten closer to the marketplace and I say marketplace, the multiple channels, whether it's the cannabis, which is a part of the nutraceutical health community as well as cosmetics as well as vitamins and other food processing and beverages, it's -- and as we learn more about our machine itself, it's clear that what we'd like to do ultimately is to lease machines for different market segments. 
 We'll be working with different kinds of customers, including CMOs for pharmaceutical and nutraceutical that's contract manufacturers or contract development manufacturers as well as directly with large customers, but probably more aligned with leases, which could include tolls for volume. 
 And in the very near term, as we build a better base and the better understanding of our devices, we will be doing tolling predominantly working both with the West Coast and as well as we've shared publicly both West Coast and the East Coast bases that will serve the regions so that we don't ship things as far. 
 But ultimately, some probably a year or 18 months downstream, we see more devices being placed in other locations where those locations will be tolling or manufacturing. So it's going to be a combination, but it will be rolled out very systematically so that we can keep up with capacity ourselves as well as the capacity of the manufacturing. Hope that helps. 
Unknown Analyst: Yes. And I just have 1 quick easy one. The West holding, I know that's in Jeff's neck of the woods, is that going -- the 1 in Massachusetts was opened first? Have we done any production out of the West Coast tolling yet? 
Jeffrey Peterson: This is Jeff. Yes, we have received 1 of the small benchtop R&D scale systems, which is getting qualified now and the laminar flow filling facility is getting qualified as well. The instrument is suitable for very small-scale demonstrations and product development work, formulation work, not suitable for production capacities, but we'll be using that to do just that. 
 Product development demonstrations, little test market sample quantities to whet the appetite and cement some deals. And then as soon as we have the equipment capacity available to get a larger production system out here. We'll be doing that hopefully during the first quarter and be ready to start serving with total manufacturing capacity. 
Unknown Analyst: I appreciate it and I look forward to it. And I think it's excellent technology, and I'm glad you guys are going at it hard. 
Richard Schumacher: Yes. I might add color on a couple of different points. On the testing, both your lab testing and the anecdotal accounts, the triangulation on performance of Ultra Shear has been almost uniformly astonishing and impressive. In the case of oral delivery route like through the cheek, under the tongue and so on. 
 The commentary has been, it's like giving an IV and to go oral through the cheek under the tongue and get blood levels being reached in the first few minutes and full dosages transferred in several minutes is really quite remarkable versus what people have been used to for oral route and some of the other nanoemulsion approaches on the market today. 
Operator: The next question is coming from Kirk Triber, Private Investor. 
Unknown Analyst: To piggyback off of Rory's question, I was under the impression that you're going to make -- we have revenues from the $420,000 machine produced as well as producing the product. Can you give me a breakdown or an idea of your breakdown of how much will be from each site next year? 
Richard Schumacher: You're talking about from this site here in Boston and the site in California? 
Unknown Analyst: Yes, I am. 
Richard Schumacher: Yes. So as Jeff said, the plan is to get a larger instrument, a full production instrument out in California out and running, hopefully in the first quarter of next year. 
 And he will be a satellite of us, and he'll be out there getting the business, the company, Pressure Bio will be paid a piece of what he gets, but it's going to be his business out there to grow. And everything that comes in will be funneled -- a portion of that will be funneled into the company. 
 We don't think we're going to be competing because quite frankly, last year, up to this year and talking to people, they would much rather -- people on the West Coast would much rather send their nanoemulsion requests to someone on the West Coast. This is what brought this idea to bear was a lot of people saying, "I really don't want to ship all of this material across country. I'd rather do it right here or have it done on the West Coast. So in the beginning, obviously, right now, it's 100% out of Boston. 
 We just did our first run. I want to remind everybody, this is all brand new or the brand-new instrument that we've worked on for the last few years, we're very, very impressed with the instrument. I'm very impressed with my team and the changes they've made to make it more efficient, to make it to be able to increase the capacity, all the things they've done over the last 1 year or 2 has greatly impressed me, and which is why we announced this year, we're going to commercialize it. 
 So we're starting out slow. We have 3 contracts where we have others that I think will be signed shortly, but we do not want to -- we got to crawl before we walk. So Kirk, the main business is going to come out of here for the next 3 or 4 months, during which time an instrument, hopefully, by the end of the first quarter, if not before, will be set up, certified and running out on the West Coast. 
 And then Jeff, there's going to be -- there's already a pent-up demand. I'd tell you, I was at the meeting and there were a lot of groups from Mississippi West, let's call it, that are interested in nanoemulsions. 
 And I think a lot of that product will go out west to Jeff's facility versus ours. And it's not going to all be CBD. Right now, we have 3 CBD and cosmetics. But I'll give you a quick -- my -- the best story I have coming out of that 3-day meeting isn't CBD related even though it was a cannabis meeting. I happen to be working to booth and so many came by, I struck a conversation. And this person, I can't go into too much detail, but this person has a very profitable, very fast-growing business where they're putting a number of molecules in their booster, let's call it, immune booster that has a number of different supplements in it, vitamins in it. 
 And he said I have a little bit of an interest in CBD, but I'm more interested in some other anti-inflammatory and some other immune booster molecules. And look at me and said, is there any chance that you guys could nanoemulsify something other than CBD and I said, of course, and he said, "What about kirkman. And I kind of laughed and said, how about this? I turned around, we had brought Kirkhaman with us, a very large sample of 15, 20 mls, and I handed it to him. 
 And it was just a beautiful yellow, clear, and I said that is very, very active, very, very concentrated, and that shows you what we can do. He was very impressed because he's only used So he went through a number of things, 5 or 6 different things that are in his product, and they're pretty much all in oil. 
 And I said you nanoemulsify now. He said, no, I don't. I said, how does it work?" He said, it works pretty well, and he says, "I'm knowledge enough to know that if you could nanoemulsify all of the ingredients I have in my booster, immune booster then I'm going to be doing a favor to my customers. 
 And I might even do a favor to me because then I could perhaps use less but get more out of it because it's now going to be more absorbable. I smiled, I shook his hand, said, you're absolutely right. And I said, you and I have a lot to talk about. So we exchanged cards. And we've been in touch, and we will continue to be in touch because we have what he looked for. 
 He went there to look for a way to find a way to make his oil-based supplements work better, and we have the answer, high quality and the answer. And so I enjoy that because everything else I talked to people that was THC or CBD or but this gentleman wanted to know about other supplements. So I was very excited about that. 
 And I think you'll be hearing more on the next call about this because he is -- he's very adept at what he's doing and he wants to grow his company. And right now, he's only on the West Coast. And he knows that there's a lot of business that we had going east, but he wants to improve the absorption of his products first. 
 And he said, "I think you've got the answer. I said, I know we have the answer. 
Unknown Analyst: That's a great answer to me. One other little thing. Are there any FDA constraints? And secondarily, it looks like the potential growth of your UST can be incredible. However, it does take money to do that. How are we doing with capital raise? 
Richard Schumacher: John or Jeff, you when I've been talking a lot it, do you want to handle the FDA part? 
John Hollister: Yes, I'm happy to. So the FDA pathway, which I'm very familiar I spent more than 30 years of my life in FDA regulated areas. We're doing the production, and we are absolutely focused on producing products under all of the SOPs that are required to produce a safe product. 
 On the claims side, which I think is what you're asking about, we, at this stage, don't have any interest or not going to pursue making claims. We're producing products for other people. And if they so choose, then we'll have to work with them in order to develop the products that are structured to meet the guidelines and the necessary hurdles for becoming a product that has regulatory claims. 
 Most of the products we're working with right now are either nutraceuticals or cosmeceuticals. And we haven't yet bridged any clients that are in the pharmaceutical, but we do anticipate that, that's a very big market opportunity. And so obviously, we are gearing ourselves in that direction. But that's probably the third layer of our marketplace. 
 The first being -- right now, we're working with some cannabis-based companies and cosmeceutical companies. We probably will be working with some other food-based companies. And then maybe the ag chem business also and then ultimately, pharmaceutical. But as you might guess, the pharmaceutical path is the most rigorous for all the reasons you know. 
Unknown Analyst: Yes. And how about capital? 
John Hollister: That one, I'll leave to Ric. 
Richard Schumacher: Thank you, John. We've -- we continue to bootstrap the company. We continue to -- we don't have a big raise out there. Otherwise, it would be filed and everybody would know about it. So it does take capital. 
 So we're looking at different ways of getting that capital under an NDA. If anybody is on the phone, if they want to call me, if they have any ideas or any capital, they can call me, we can sign an NDA and talk about it. 
 But right now, I couldn't agree with you more, Kurt, the -- we have an amazing technology. We have an amazing opportunity and we're going to make it work with the capital we have, if we were able to find more capital 1 way or the other, we can make it work bigger or faster or both. But right now, we're going to make it work. It's so exciting, pardon my French. I'm excited already. 
 So again, anybody can call me at any time under NDA. There's a lot more we can tell you that would get you, I think, be more excited, but I'm pretty excited about just the things we're talking about here. 
John Hollister: And if I might add just 1 additional layer to that. And that is the path and the strategic path that we've taken, which is starting out by actually producing materials under this model of tolling, where we're selling concentrated materials that other people are packaging and then going and selling is it reduces the cost, the capital outlay burden on us initially. But generates revenue very rapidly, and the margins are very healthy for us, and that will help put us into a position to grow in a very responsible manner to ultimately 12 months or 18 months from now, be in a position where we can do more manufacturing of units and placing more of them around. 
 And in that meantime, it also makes us because we've been a medical device company for 15 years, building a very robust machine that doesn't need a lot of care that almost operates by itself takes time to get there. And we've done that. 
 Our beracyclers are very dependable devices. That's one of the benefits of taking our time before we start putting machines everywhere is to make certain that really runs the way we expect it to run. So that's the other part of the process. 
Unknown Analyst: Have you talked with any venture capital firms or are they just too greedy? 
Jeffrey Peterson: Sorry, did you want to go ahead, Ric? 
Richard Schumacher: No, go ahead, Jeff, if you're going to comment. 
Jeffrey Peterson: In general, venture capital has not been a target audience for this. We've been very fortunate to have a large and diverse group of investors that have supported the company through both equity and debt as we continue to announce progress on over time. 
 As Ric alluded to, we'll be delighted to talk to folks that have interest in exploring what they could do with their capital with us. The other dimension of this that I think should not be overlooked is the very significant potential likelihood and the fit that will likely emerge from a strategic relationship with some key multinational players. 
 As Ric alluded to in responding to a question earlier, we're kicking off the food and beverage consortium in collaboration with the Ohio State University. That has already had a very significant number of major companies, global names that have been in contact and evaluating already, even prior to the formal kickoff coming in December. 
 And although you've heard quite a bit of discussion around the cannabis, CBD arena because it is such a convenient sort of hot tip of the spear area for market penetration with this technology, the really enormous opportunities are beyond cannabis. In nutraceuticals, in pharmaceuticals, Agrochem, food and bev, cosmeceuticals the opportunity we have partnering with Dr. Denese is our first cosmeeutical customer where she has a history of over $0.5 billion in sales in existing products going out at the $20 million a year kind of revenue rate gives us a platform for a fast entry in existing active customer base. 
 But we have in the nutraceuticals arena and others demonstrated remarkable examples of what the products can do, and that has led already to having literally a couple of weeks ago, the President of a global multibillion dollar multinational coming out to visit Pressure Bio to have very material discussions about next steps in working on a nutraceutical class product. 
 I don't want to say more about it than that, but it gives you a sense of the scale of players that are now starting to lock focus on little old Pressure Bio and the opportunities as we partner with them and to potentially bring strategic investments in to support our acceleration is an exciting additional dimension. 
Richard Schumacher: Jeff, I would -- this is Ric. I would add something to that. That's exciting to me. It is -- to me, where we are today, is much further along than we were even at the last conference call. I've had a number of investors call and say, why haven't you signed a deal with a big company or a big company there. 
 The bottom line is that we're just -- we're a company developed an amazing technology. And until it got out there and people could start testing the samples and start seeing the results from acknowledged people it just didn't have the credibility. It has the credibility now. It's going to have more credibility every month from now. 
 We have academics that we'll be publishing. And we're excited as to have them published because we know that we have the best in class in the world. We know that now. I say it without any hesitation, we have the best in class in the world right now. 
 And we also know that may not stay that way for years to come. So we've got to keep pushing ahead. But I'm telling you, Jeff's right, 2 weeks ago, the CEO of a multibillion-dollar company showed up and said, may I come by and spent -- said I got an hour and spent 3 hours with us and it was awesome. This is not a one-off. This is happening now all the time. 
 So expect to see some movement in all of these directions as we go forward because we had to get past that threshold and we've gotten past that threshold. We had -- I'm going to guess, 75% of the people showed up to booth came directly to see UST. It wasn't because they were walking by and we nabbed them in the aisle. They came to see us because they heard about us. 
 So we've hit a point now that's very different than we were even 2 or 3 months ago. I want to add 1 more thing. You're talking to part of the team. There's another member of the team that has been mentioned in press releases, but I don't think it's been mentioned on the conference call. His name is John Westlake. 
 John is a very important part of our team. John, I have to tell you, I was blown away, amazed. John has been in the cannabis field for 8 or 10 years. And I've been told he knows everybody, but you hear that about a lot of people. Guess what, John Westlake knows everybody, absolutely everybody. 
 John Hollister was in the booth and -- for a much more time than me, and he told me, John, you told me that almost everybody that came over on their own or that you or Ken or Jeff, I new John or John knew who they were. He looked up his phone. He said he's got 6,000 people in this phone that are related to cannabis. 
 So John is a resource that is going to be amazing. He's also 1 of our contracts. He's going to be getting material and he's going to be bringing in sub-people white label and sub distributors from all over the country, and he's got a pent-up demand that is going to keep us going day and night. 
 We're going to have to look at double shifts and weekends and things like that. I believe next year because just the people he brought over were in -- I'm not kidding, it must have been several hundred people that he knew or that knew of him. So he's a great member of the team. 
 He's working with -- he was here yesterday. He's going to be here tomorrow. He lives in Mass, and he's going to be very effective to us. He's going to keep us on our toes and we're going to keep him on the toes. So it's a great match. So I just want to give kudos out to John. You're welcome. Speaking with John, John, the host, are there any more questions? 
Operator: Yes, we have a couple of questions in queue. The first coming from Terry Beecher with Edico Partners. 
Unknown Analyst: I don't mean to be a Debbie Downer, but 12 months ago, we were at $2.41, and I was told -- and I told my clients about this incredible potential. 6 months ago, I told my clients at $1.90 and that we were going to focus on UST. It was the greatest thing since sliced bread. 3 months ago at $1.80, I was able to tell them, hey, hey, hang on, the orders are coming in. 
 Now revenues are down 72%. The stock's at $1.19, what do I tell my investors and I own a ton of shares myself, I'd just love to hear what you guys -- how you would respond to their question about do we keep this? Do we take a tax loss or do we buy more? And I'll listen for an answer. 
Richard Schumacher: Well, we are not allowed to say you should buy more, but I certainly think you should look at buying more. You should consider buying more. We're under -- we're in a blackout period. So some people have asked why are you buying? And I say, I sure wish I could, but we're in a blackout period, so we can't. The bottom line is... 
Unknown Analyst: Investors. 
Richard Schumacher: I tell people that, #1, I don't control the market. And #2, we've made a pivot and that there is -- there's a little bit of a hiccup on a pivot. We stopped focusing on a business that is terrific, but it's going to take a long time for it to be profitable. 
 And we pivoted to a business that can ramp up extremely quickly and bring revenue and profits in a year or last because we made that public. We think we'll be profitable before the end of next -- by or before the end of next year. And it doesn't mean that you have to wait till the end of next year because this is a process I believe we said something in today's press release about a hockey stick. 
 I didn't -- I've never really believed in hockey sticks, but I think we have 1 here. I think we have 1 here because we just came back from a meeting and there are hundreds of people that are there looking for what we have because they can't find it anywhere, and we have it and it's the best-in-class in the world and we started to make it, and we started to sell it. 
 And starting in the next week or 2, you'll see that we have shipped it because we've already said we're going to ship it in the next week or 2 as soon as we get QC release. And so it started, Berry. And I can't tell you whether it's going to take 2 weeks or 2 months, but it's not -- in my opinion, it's not going to take 2 years. It's started. The process has started. So we just ask you to hang on a little bit more, believe in the team here, believe in the technology, and we're going to come through for everybody because we're all investors Jeff, John and I have all put our personal money and none of us are rich into this. 
 We borrowed money to put into this. So I hope that speaks about how much we believe in this technology. I can't wait for January, February, March, and I can't wait for the next the next conference call. I just can't wait because I know what could happen over the next 5 months. Jeff, John, do you want to add? 
John Hollister: I'll make the observation that you were telling your clients about the exciting prospects for UST and what a buying opportunity it was $1.90. At the time you were having that discussion, UST was a lot more talk than proof. And today, it's a lot more proof than talk. 
 We're now producing and delivering first production quantities of it with more teed up to follow quickly and the kind of examples of results that you heard discussed already. So I think the situation looks far more attractive today -- as we alluded to in the press release, it's disappointing when you have some timing results that put a little salt in the round when we make a strategic decision to reallocate resources and know that we may see some progradation but then you get some timing issues that made third quarter looks a bit more so that's frankly an annoyance. 
 But as we indicated in the press release, our discussion today, the future is clear and bright in our minds, and that's where we're focused and we're driving and have tremendous confidence about what will be achieved in the next year. 
Richard Schumacher: So Terry, just to take away from what Jeff said as I was listening, thinking as an investor, what I just heard is that the company is more substance than talk now. The company has already said they're on target to have an all-time record quarter. 
 So if last quarter was a harbinger of things to come, it ain't going to come because we've already gone out on the limb and said we've already done more in the first half of this quarter than we did all of twice as much as all of last quarter. So I'd go to the investors should know that the company is going to -- is on target to have a record quarter. And this is with only $100,000 coming from Ultra Shear. 
 So what's going to happen when this pent-up demand we've been talking about and these additional contracts and Dr. Denese gets on QVC to start selling product that has our material in it. I would say that is a good time, a very good time to look at Pressure Bio. I just -- it's driven me crazy all my life. Why when stocks go down, it's the 1 thing that people run away from when they should really look and say, is there a substance behind that company and going down, is it a time to buy because now I can get 2 for 1. 
 So those are the thoughts I would have. John, any more? 
Operator: We have coming from Tom Ellison, private investor. 
Unknown Analyst: You mentioned you completed your first CBD emulsion tolling contract can you give us a ballpark size of that of a typical contract tolling? 
Richard Schumacher: It's a pilot, and we've made this clear, Tom -- hello, by the way, and happy Thanksgiving to you out in California, and appreciate your continued support. You know that. 
 We signed the contract. And please remember, this is the first commercial manufacturing run on the machine, and it's the first commercial manufacturing run that we've done in CBD or in anything. And so we and the customer decided we'd do it in 3 tiers. 
 The first tier would be 500 vial, roughly order. The second tier would be 5,000 vials and the third year would be 50,000 vials. And so we just completed the first 500 and expect to do the second one, 5,000. 
 And I should turn this over to John Hollister because John speaks to the customer every day, knows the customer inside out. So John, would you like to add to anything that I just said? 
John Hollister: No, you're spot on. And part of it is this rational launch. All of us have commercialized all of us and our team have commercialized different kinds of products over careers, and this is just a good way for us to tease out processes that are new to us, the bottling, packaging and shipping. Ultimately, our business is going to be shipping what we refer to as totes, which are large volume products. 
 But in these initial runs, we're actually very active in helping source bottles and sprayers, containers, packaging, labeling, et cetera, all the way, if you will, vertically integrated through the process. And so it's helpful for us to do that in smaller steps. 
 So we're really looking at this. First that we've just completed as an alpha or next one will be the beta. And then the third 1 is really the commercial step. This is a fun 1 for us because SAFR Medical in Montana is very focused on the veterans of our country and helping them with some of the things that they're dealing with and the gentleman, George Ackerson, is really committed as a veteran to helping these people. 
 And so we're excited to work with him and get through this process, but it should not be forgotten that we're about to do this with a second. We start the same process with a second customer and then layer on a third customer. And over the course of the next 6 months, we will add another 4 or 5 customers in different market spaces that we'll be doing the same thing. So all these just build on each other. And as each one of these customers has the potential of adding a separate or a third product to this mix, those just add to each other. 
 So by halfway through next year, we will be doing a very large volume in with multiple different products in multiple different categories. And as I said earlier, they are from a revenue perspective, and that's, I think, what the investors are looking for. They want to see revenue coming into our company. And this will definitely change that perspective of our company very, very quickly. 
Jeffrey Peterson: I'll add to John's comments to just make the observation that what are the other benefits of the small pilot batch approach and this scaling approach is with the small pilot batches, we will typically with a client be focusing on a market testing, market feedback cycle in that initial batch in particular, to make sure that we're capturing testimonial input that will help support the product as we roll it out downstream as well as capturing any early information on tweaking the product. 
 If the flavor profile or whatever that the client has worked out with us, isn't satisfying as well as they'd like. We'll do a tweak on that before you've got 50,000 of them in the field. So it's a smart step-wise approach that we think will build credibility and success levels on the success of steps. 
Unknown Analyst: When do you reach Tier 3 on any customers? 
Richard Schumacher: Good question. I was just about to answer that. This is not something where Tier 1 takes 3 months and Tier 2 takes another 4 months. This is something where Tier 1 and Tier 2 together take 2 or 3 months maximum, we believe. So we expect -- not midyear, 2 or 3 months. 2 or 3 months. So we're talking about first quarter. 
 We -- I expect that the large manufacturing run for Safer Medical will happen in the first quarter, and we will be billing as we make it and ship it. So this is not going to be middle of next year. No. This is why it was so important to get this first run out and the second run out in let's say, November, December, January, get them done because they're pilots, they're going to teach us a lot and then we do the large run. 
 And think about this, this large run we've looked at it, and we've given the little indication that we believe the first contract could be worth $1 million to us, which $900,000 of that, of course, is coming from the big run or so. 
 But we're not talking about what John just mentioned. This same group is interested in having 2 or 3 more SKUs or 2 or 3 more products and they think they can sell out faster than -- we're going to be conservative and say we're going to make your 50,000 vials and then that's going to satisfy you for a year. 
 They're looking at us like we're crazy. Like we'll be back long before the end of the year. So that is no longer a $1 million contract. You can you can make that a much bigger contract. If they come back more often than once and if they add a different -- a number of different SKUs. So that's 1 contract for 1 large manufacturing run for next year. 
 And I think the chances are that we might be wrong, it might be more than 1 run and 1 SKU next year. And that's for each customer. So I think we might be wrong way carefully. Might be wrong in the right way, yes. I'm sorry, what was that? 
Unknown Analyst: How long will Tier 3. Have you figured out Tier 3, how long would that take your company in that 1 tolling station to satisfy. 
Richard Schumacher: Well, again, as I just said, Tier 3, we look at it as a 1-year amount of product for 1 year. Being very conservative. 
Unknown Analyst: What is the processing time? What it takes you, 1 week, 1 month? 
Jeffrey Peterson: It's very quick. On the large-scale equipment, I mentioned the small R&D scale equipment that we've put into our facility out here on the West Coast that's suitable for little demos and so on. But the large-scale equipment like we have at Ohio State can produce on the scale of 4 liters a minute potentially faster than that. 
 So our ability to satisfy requirements at a 50,000 vial level and so on is measured in hours. 
Unknown Analyst: Okay. That's good. One other question on our message where a lot of people are asking about the study on the bioavailability. It's been written up as soon it's probably has been peer reviewed in the publishing to you knowing about that when that will happen? 
Richard Schumacher: Well, there's a lot of rumors going around. We have -- we have asked academics to look at our material, and we've asked them to publish it when it's done. And we've had studies done. They're not published yet. At some point, they will be published. We would like them published in peer-reviewed journals. And I can't tell you what the results are, but I can tell you, I can't wait for them to get published. . 
Unknown Analyst: Okay. Do you have any estimate any ballpark this quarter or next quarter. 
Richard Schumacher: I'm hoping every week, I wake up Monday morning, hoping that's the week that we see at least 1 publication in a peer-reviewed journal. I am a scientist, I published a number of papers and I understand that sometimes you send it in and it gets sent back because they want to have some changes, some additional data or whatever. 
 Sometimes you have a colleague that said it's not ready for prime time. There's all different things that can happen. But I am optimistic that 1 of these weeks in the near future when I wake up will be the week that at least 1 study is published. And there's nothing like having a national or world-renowned scientist publishing in a peer-reviewed journal saying that your material is good or great. So we're anticipating that. And we're going to do more studies with more experts. 
 And I'm not saying it lightly, we are the best-in-class that I am aware of today, best-in-class in the world. 
Unknown Analyst: You team's doing a great job. I'd like to say too that I'm gradually a Tier 1, 2, Tier 3 because you got to get this perfect. You don't want to issues, right? This is your reputation on the line. 
Jeffrey Peterson: Right. Exactly as adding that and we selected 1 of the top handful of academics acknowledged as an academic leader in cannabis around the globe to perform the study and they are focused on getting this to publication on a fast time table. 
 So as Ric said, we're optimistic of something coming out soon, but -- it's not in our hands to control. I certainly expect that within the first quarter, we'll see it out and we hold our breath as to whether we could see something this year. 
Richard Schumacher: I appreciate that. Thanks. It's fun when you love your job and things are going well, and you're -- and especially when you're releasing a product, he probably many people on this call, certainly, the 3 people on this end have all done. 
 It's extremely exciting when you're about to release something that you think will change your company, if not the world. And this will change our company. I'm glad we made the pivot. We'll take whatever arrows we have to take from the down of the third quarter. 
 It's -- please don't forget, we're having 1 of a fourth quarter, which will help our cash flow a lot and -- which is great. And we're going to be shipping our first product. So all these positives, back to Terry's question, I think I would pose all these positives to somebody and say, "Yes, you waited, but don't give up the ship now because they're lands in sight. Okay, gentlemen.  Anything else, John? 
Operator: We have no further questions in queue. 
Richard Schumacher: This is going to be a short call and it might be 1 of our longest, but most of it were Q&A. And so we -- as you know, we take all questions. So I'll end it and just say thanks, happy Thanksgiving to everybody. Thanks for giving us a chance to bring you up to date and to tell you all the exciting news that we told you, along with the disappointing news comes, we think a lot more exciting news. 
 Please stick with us. A lot of you are stuck with us for not months, but I know years. And we're not asking you to stick with us for more years. We hope that in a short period of time. If you so desire, we hope you're able to get something out of the stock that's higher than what you paid for it. That's our goal, and we're working very hard to do it. 
 So happy Thanksgiving to everybody, and thanks for joining us on Thanksgiving week, and we'll talk to you after the fourth quarter and looking forward to it. 
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.